Operator: Good day, and welcome to the Stoneridge, Inc. Fourth Quarter 2024 Results Conference Call. All participants will be in listen-only mode. Should you need assistance, please stay on the line and your specialist by pressing the star key followed by zero. Withdraw your question. Please note this event is being recorded. I would now like to turn the conference over to Kelly Harvey, Director of Investor Relations. Please go ahead.
Kelly Harvey: Good morning, everyone, and thank you for joining us to discuss our fourth quarter and full year 2024 results. The release and accompanying presentation was filed with the SEC and is posted on our website at stoneridge.com in the Investors section under Presentations and Events. Joining me on today's call are Jim Zizelman, President and Chief Executive Officer, and Matt Horvath, our Chief Financial Officer. During today's call, we will be referring to certain non-GAAP financial measures. Please see slide two of the presentation for a more detailed description of these non-GAAP financial measures and the appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. In addition, certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties, and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found on page three of the presentation and in our 10-K, which will be filed with the Securities and Exchange Commission under the heading forward-looking statements. After Jim and Matt have finished their formal remarks, we will then open up the call to questions. And with that, I will hand the call over to Jim.
Jim Zizelman: Thank you, and good morning, everyone. Let me begin on page four. In 2024, Stoneridge's specific growth drivers, our continued focus on the execution of our major program launches, continuous improvement in our manufacturing facilities, and structural cost control enabled us to navigate through a very challenging macroeconomic environment. Driven primarily by our key growth products, including MirrorEye and our next-generation Tachograph, the Smart 2, we were able to outperform our weighted average end markets by 490 basis points. As our growth products continue to mature and our end markets continue to improve, we remain focused on improving our ability to drive earnings growth and cash performance through improved material and structural costs and improvements in working capital, particularly in inventory. In 2024, we were able to reduce our overall material costs by 120 basis points and improved direct labor by 30 basis points, which is effectively a 7% improvement year over year. Additionally, our focus on cash performance resulted in approximately $24 million, an increase of $56 million versus the prior year. While we are proud of our achievements in 2024, we recognize there is still opportunity for significant improvement, especially in quality. Additionally, we are focused on overall cost structure as evidenced by our recent actions to delayer certain corporate functions, which reduced costs and is improving operational efficiency. Finally, in 2024, we initiated a project in our largest manufacturing facility in Juarez, Mexico, to streamline our operations, reduce manufacturing costs, improve material flow, and reduce our structural overhead. While we began to see the benefits of this project in 2024, we expect to annualize these savings and add to them as we complete the project this year. Quality-related costs, material cost improvement, and structural cost reductions remain our key priorities for 2025. Page five summarizes our key financial metrics for the full year 2024 compared to the prior year. In an environment where our weighted average OEM end market has declined by 10.4%, our full year 2024 sales of $908.3 million outperformed those end markets by 490 basis points. More specifically, MirrorEye revenue increased 22% year over year, driven primarily by the launch of our program with Volvo in Europe. We expect continued success with MirrorEye in 2025 as we launch additional programs in North America with Volvo and Daimler Truck, driving more than $50 million of additional growth for MirrorEye. Additionally, Smart 2 Tachograph continued to ramp up in 2024 in both the OEM and aftermarket in Europe, resulting in just under $60 million in revenue for the full year. Again, these Tachograph programs provided significant growth over the prior year, with sales almost doubling relative to 2023. We expect continued success with our Smart 2 Tachograph in 2025 as more vehicles become subject to the European regulations requiring this device. Stoneridge remains well-positioned for growth in our key product areas. Full year gross margin was relatively in line with 2023 despite the increase in revenue. This was driven by our actions to improve material costs, manufacturing performance, and quality-related costs. Driven by our continued focus on supply chain strategy, including resourcing and negotiated price downs with our suppliers, as well as reengineering components, we were able to reduce material costs by 120 basis points year over year. We continue to focus on operational improvements throughout our facilities, which contributed to a 30 basis point improvement in direct labor, again, which is a 7% reduction year over year. Finally, we continue to focus on built-in quality, responsiveness, and proactive processes to address any quality issues we find as we continue to enhance our engineering capabilities and capacity globally. Full year adjusted EBITDA margin declined by approximately 80 basis points compared to the prior year. Despite significant top-line headwinds driven primarily by challenging end markets, our focus on improved operational performance drove a decremental contribution margin of just 19% versus our historical average of 25% to 30%. And finally, I mentioned previously our focus on cash and inventory management drove positive free cash flow of approximately $24 million, an increase of approximately $56 million versus the prior year. This was driven primarily by significant improvement in our inventory balances, which declined by $36 million this year. Overall, despite continued and significant challenges in our end markets, we were able to outperform our weighted average end markets, significantly improve our operational performance, and drive much stronger cash performance in 2024. Turning to slide six, MirrorEye continued to gain momentum in 2024 through our global OEM programs as well as continued expansion in both the aftermarket and bus end markets. We expect strong momentum to continue in 2025 as MirrorEye continues to be the industry-leading camera monitor system for the global commercial vehicle end markets. Full year 2024 MirrorEye revenue of $66 million grew by 22% compared to the prior year. This was primarily driven by newly launched OE programs offset by significant headwinds impacting global vehicle production volumes, particularly in Europe, where production declined by 24% versus 2023. We launched our European Volvo program on the FM and FH model trucks in mid-2024. As expected, this program contributed significant incremental revenue in the fourth quarter due to strong market penetration as the new truck model ramped up production. Additionally, we launched with Peterbilt on models 579 and 567 in North America, joining the already launched Kenworth program, driving incremental sales during the year. This year, we are launching MirrorEye programs in Volvo's all-new VNL truck in North America and Daimler Truck North America's fifth-generation Freightliner Cascadia truck. Both launches include the independent wing design, which separates the system from the traditional mirrors. As such, the system falls under Stoneridge's FMCSA exemption, allowing owners to remove conventional rearview mirrors and operate using only the factory-installed camera monitor system. This allows the end customer to fully recognize the benefits of the aerodynamic wing design that reduces drag, eliminating the traditional side mirrors, contributing to improved fuel efficiency. As a result, we expect the take rates of these systems to improve as the new truck models ramp up throughout this year and into 2026. This morning, I am also happy to announce that we are partnering with the final primary North American OEM customer to roll out retrofit applications to their customers through a pre-wire option and direct installation with a selected aftermarket upfitter. Similar to other pre-wire programs, this program is without an official volume-based award. However, it creates a significant opportunity to showcase our system specifications and capabilities to both this OEM partner as well as their end customers. With this program, MirrorEye will continue to be the only system available on new production vehicles in the United States and with every major OEM in North America. As has been historically the case, we will continue to work with this OEM to expand the pre-wire program into a permanent OEM available system. Based on current market indication, additional program launches, and the expected ramp-up of new truck models, we expect significant MirrorEye revenue growth in 2025. Full year 2025 revenue is expected to grow by at least $54 million or almost double to $120 million, of which $100 million relates to OEM program revenue. As discussed on previous earnings calls, many of our existing customers have begun to equip their trucks with MirrorEye as standard equipment, including certain long-haul trucks for DAF and Volvo in Europe. Additionally, MirrorEye continues to be optional on many other models for these same customers. Given the adoption on some trucks as standard equipment, as well as the continued positive feedback from our customers and their end customers, we are expecting higher take rates for the system in 2025 and beyond. We are confident market adoption of this industry-changing technology will continue to accelerate. As a result, and as we will discuss in more detail later in the call, we are updating our long-term revenue targets to reflect to almost triple by 2029 to almost $300 million annually. This estimation is based on our targeted European take rate of 25% based on the extrapolation of current take rates and targeted North American take rates of 25% to 35%. This North American improvement is driven by customer feedback from both our OEM and fleet partners, expected momentum in overall market adoption, maturing launches, and design and functionality changes in our new and existing programs. By the end of 2025, we will have all four global OEM programs launched on a number of different nameplates and models. With so many models already offering MirrorEye as standard equipment, we are confident market adoption will continue to accelerate. Now turning to Slide seven, and as we have discussed in the past, we continue to expand our core technology and product areas to drive long-term growth. Aligned with our focus on commercial vehicle safety and efficiency, we have developed a suite of products related to trailer connectivity to the tractor. The ability to connect the tractor to the trailer seamlessly stems from our proprietary technology enabling data to be transmitted through existing power cables in the trailer and connected to the tractor through the existing harness and wiring. This allows for fast and easy adoption of the capabilities and does not require any additional training or change to driver habits. This point of connection enables many different trailer connectivity partners with which we are working is the trailer backup camera. The digital backup camera is mounted on the back of the trailer with integrated lighting and software overlays to illuminate and guide the driver as they maneuver the trailer in low light or tight parking conditions. The key differentiator with our product is the ability to integrate the backup camera to a hardwired connection providing effectively no latency and a very high-quality digital image. This configuration avoids the adverse effects of wireless systems such as the distance to the camera or impediments to the video signal. The value proposition for the backup camera is very strong, and we expect good adoption once the system is broadly available, which we expect to start later this year. With the hardware connection of the trailer, the possibilities for connectivity and system expansion are almost limitless. We are able to add additional camera and sensor applications throughout the trailer both in through the secondary display that can be integrated with the current climate and input such as tire pressure and temperature, rear door ajar status, and the ability to monitor cargo on the interior of the trailer with an integrated camera. We have been working with select key fleet partners to design the system features and align the value proposition for expanding our commercial focus and broadly launching the system. We expect to begin to roll out the system on a limited basis in 2025, followed by significant expansion in 2026. Our suite of trailer connectivity products and solutions highlights our continued focus on expanding on our core technologies and platforms to drive long-term growth. With that, I'll turn it over to Matt to discuss our financial performance and expectations in more detail.
Matt Horvath: Thanks, Jim. Turning to page nine, fourth quarter sales were $218.9 million. As expected, sales were significantly impacted by continued pressure across all of our major end markets. However, revenue from Stoneridge-specific growth drivers helped to offset end market declines. More specifically, in the quarter, we saw growth in MirrorEye revenue, particularly from the newly launched Volvo program, which grew $3.1 million over the third quarter, and the largest quarter yet for Smart 2 Tachograph revenue of over $17 million. Fourth quarter adjusted EBITDA was $6 million or 2.7% of sales. Elevated warranty and other quality-related costs significantly impacted the quarter versus our prior expectations. However, improved manufacturing performance partially offset these headwinds, for a net impact of $3.1 million. More specifically, these quality and inventory-related costs related to specific incidents and products which have been contained through supplier management, manufacturing process improvements, and modifications to hardware or integrated software. Finally, fourth quarter engineering expenses were $2.1 million higher than previously expected, primarily due to design-related tooling changes resulting from a change in supplier, as well as delayed timing of customer reimbursements. We expect to be able to offset a portion of these costs in 2025 once we meet the required engineering or program hurdles and recognize the customer funding. Page ten summarizes our key financial metrics specific to control devices. Control Devices full year sales of $296.3 million declined by approximately 14% versus the prior year, primarily due to lower production volumes for our largest North American passenger vehicle customer. According to the latest IHS production data, the domestic three-year-over-year production declines of 4.3% or approximately three times the North American end market decline of 1.5%. Full year adjusted operating income of $6.6 million or 2.2% of sales declined by 170 basis points compared to the prior year, primarily as a result of the sales decline. We continued to focus on improved operational performance, driving a 250 basis point improvement in material costs and a $2.1 million improvement in quality-related costs. Looking into 2025, we expect production volumes to continue to decline moderately in North America. Additionally, there are a couple of programs that are coming to an end for control devices that will put additional pressure on top-line performance this year. As a result, we are expecting Control Devices sales to decline this year relative to last. We will continue to focus on the things we can control and drive improvement in material costs and manufacturing performance. As a result, we are expecting a stable margin profile this year despite the modest decline in sales that we expect in the segment. Page eleven summarizes our key financial metrics specific to electronics. Full year sales of $594.7 million were approximately in line with the prior year. Stable revenue was driven by Stoneridge-specific growth factors, including incremental revenue from the Smart 2 Tachograph programs and incremental MirrorEye revenue. This was offset by a significant decline in the commercial vehicle end markets, including a 24% decline in Europe and a 2.5% decline in North America. On growth of 0.2%, we outperformed. Gross margin remained flat compared to the prior year, primarily as a result of material cost improvements resulting in a 110 basis point improvement as well as reduced direct labor, which contributed 40 basis points of improvement. Included in our operating performance was increased quality-related costs of $1.2 million as well as one-time costs related to distressed suppliers impacting our operating performance by approximately $3.2 million during the year. We continue to focus on these issues and expect significant improvement in 2025. While we are expecting a relatively flat commercial vehicle end market in 2025, we expect revenue growth for electronics, primarily driven by the annualization and launch of MirrorEye OEM programs and continued strong performance with our Smart 2 Tachograph both on OEM and aftermarket applications. Page twelve summarizes our key financial metrics specific to Stoneridge Brazil. Stoneridge Brazil's full year sales were approximately $50.1 million, which declined year over year, primarily driven by continued macroeconomic challenges in South America. Full year adjusted operating margin declined by approximately 500 basis points, primarily driven by reduced fixed cost leverage on lower sales, partially offset by lower SG&A costs. We expect revenue growth and margin expansion in 2025 as we continue to shift our portfolio in Brazil to more closely align with our global growth initiatives and further expand our local OEM programs to support our global customers. Brazil is a critical engineering center, which we will continue to utilize to cost-effectively support our global business. Turning to page thirteen, as Jim discussed earlier on the call, we generated $23.8 million in free cash flow during the year, which is an improvement of $55.5 million compared to 2023. This significant improvement was driven by our continued focus on reducing net working capital, including a $36.4 million reduction in inventory this year, with a $25.1 million reduction in the fourth quarter alone. As we remain focused on our key working capital initiatives, we are expecting continued improvement in 2025. We also announced an amendment to our existing credit facility that modified our leverage and interest coverage ratios to provide financial covenant relief through the third quarter of 2025. The covenants return to a 3.5 times net debt leverage ratio and a 3.5 times interest coverage ratio in the fourth quarter of 2025. With this amendment, we are confident the company has ample liquidity and flexibility to operate in the current macroeconomic conditions. Based on our 2025 guidance, we expect a compliance leverage ratio between 2 and 2.5 times by the end of the year and expect to remain compliant with the amended covenant ratios. Turning to slide fourteen. This morning, we are issuing our full year 2025 guidance. We are expecting sales of $860 million to $890 million. We expect continued progress on our material cost improvement initiatives, quality-related costs, and manufacturing performance to drive improvement in gross margin to a midpoint of approximately 22.25%, which is a 135 basis points improvement versus 2024. We expect operating income to improve by 70 basis points to a midpoint of 1% based on the gross margin improvement I just outlined. We expect these improvements to drive EBITDA margin expansion of $2 million to a midpoint of $40 million and an EBITDA margin of approximately 4.6%. Finally, this year, we are introducing free cash flow guidance as we continue to put a significant focus on inventory and working capital improvement. Similar to 2024, we reduced inventory by over $36 million, we are expecting continued improvement in inventory balances and overall improved earnings to drive approximately $25 million to $30 million of free cash flow this year. Slide fifteen outlines our expectations for 2025 revenue and EBITDA in additional detail. Typically, we use IHS as a benchmark for weighted average end market performance. In 2025, IHS is suggesting that our weighted average OEM end market will be approximately flat relative to 2024. However, based on our current view of customer production, we are expecting OEM volume to decline by approximately 3.8% over last year. That said, should production materialize as IHS is forecasted, there could be upside to our guidance as the year progresses. As Jim outlined previously, we are expecting another year of strong growth from MirrorEye. In total, we expect that MirrorEye will grow by approximately $54 million or approximately 75% over 2024, resulting in total MirrorEye sales of approximately $120 million this year. We expect the MirrorEye growth will be partially offset by the end of a couple of programs, contributing approximately $41 million of revenue decline in 2025 relative to 2024. These revenue drivers result in a midpoint of $875 million in revenue for 2025. Moving on to EBITDA. The slight decline in revenue drives a contribution headwind of approximately $9 million. Similarly, we eliminated the vast majority of our incentive compensation in 2024 with the expectation that programs return to target in 2025, driving a $7 million headwind year over year. As we have discussed throughout the call, we remain focused on improving quality-related costs and reducing material costs. Improvement in these areas, as well as the elimination of one-time distressed supplier-related costs incurred in 2024, is expected to contribute $14 million of improvement this year. Finally, as Jim discussed earlier, we have continued to focus on our overall cost structure to both reduce our corporate structure and improve our manufacturing performance. We are expecting an incremental $4 million in savings related to these initiatives. Finally, we continue to monitor the impacts of potential tariffs, particularly as it relates to Mexico. Similar to previously enacted tariffs or other raw material-related cost increases over the last several years, we will implement supply chain and customer pricing strategies to mitigate any cost increases that may occur. We will continue to monitor shifts in macroeconomic policies and the potential for impacts on our business to ensure that we act quickly to offset any incremental costs as we have done historically. In summary, we are expecting a slight decline in revenue and continued significantly improved operating performance to drive EBITDA improvement in 2025 to our midpoint EBITDA guidance of $40 million. As it relates to the cadence of our guidance, we are expecting an even split of revenue between the first and second half. We are expecting first-quarter revenue to be slightly below the fourth quarter of 2024 as Smart 2 sales come off of a record quarter. We are expecting EBITDA to be more weighted to the second half of the year, driven by continued ramp-up of structural cost improvements and reduced engineering expenses after the launches of the Volvo and Daimler MirrorEye programs in North America. We are expecting first-quarter EBITDA to be approximately in line with the fourth quarter of 2024. Slide sixteen lays out the base assumptions that provide the framework for our short and long-term targets. First, looking at 2026, we are targeting revenue of at least $975 million, which would represent 11% growth versus our midpoint expectation for 2025. This is primarily driven by expectations of strong commercial vehicle production, particularly in North America, in advance of new emissions regulations in 2027. Growth in our weighted average OEM end markets is expected to be 7.4% based on current IHS forecasts. In addition to a strong market, we are expecting continued expansion of our MirrorEye programs, driven primarily by continued expansion in North America as the programs launching this year will annualize next year. We are expecting continued strong take rates in Europe and growth in our fleet business to contribute to incremental MirrorEye revenue in 2026. We have additional opportunities for growth, including growth in our connected trailer activities and growth in our aftermarket businesses, including our off-highway business, which we will quantify in more detail as we get closer to the end of this year and formally issue our 2026 guidance. Overall, we are expecting very strong revenue growth in 2026. We expect that growth will drive significant earnings expansion as well. Based on our historical and expected contribution margin, we expect that our growth will improve EBITDA to at least $70 million in 2026, which would represent an EBITDA margin of at least 7%. We will have the ability to outperform this contribution-based target as we continue to execute on our pipeline of material cost improvement activities, continue to focus on reduced quality-related costs, and drive operational improvement as we grow. Looking beyond 2026, we are expecting continued strong growth in our key product categories. We expect that control devices will return to market outperformance driven by expanding content and new programs, both awarded and in our pipeline, including the leak detection module program we have outlined on previous calls. We expect continued expansion in our MirrorEye programs as they mature and continue to ramp up. Similarly, with the launch of the connected trailer products this year and the continued adoption of camera-based safety systems in the off-highway market, we are expecting our aftermarket products to outpace market growth. We expect these growth drivers to result in $1.3 to $1.45 billion of revenue by 2029, representing a five-year compound annual growth rate of approximately 7.5% to almost 10%. Based on our long-term revenue targets, we expect EBITDA contribution of more than $100 million, which is in line with our historical 25% to 30% contribution margin. With this growth, we are targeting EBITDA of approximately $160 million to $200 million in 2029. Turning to page seventeen. In summary, we continue to execute against our key priorities throughout 2024, setting up strong performance in the future. In 2024, we outperformed our weighted average OEM end markets by 490 basis points, improved material costs by 120 basis points, and reduced direct labor costs by 7%. Additionally, our focus on cash performance resulted in a free cash flow improvement of $56 million year over year, driven by inventory reduction of $36 million. Stoneridge has a strong portfolio of products and opportunities to continue to expand our market share and content growth going forward. We expect that this growth, along with the continued execution of our key operational priorities, will drive significant earnings expansion and, as a result, strong shareholder returns both in the short and long term. Stoneridge remains well-positioned to outpace our weighted average end markets, significantly expand our earnings, and drive long-term shareholder value. With that, I will open the call to questions.
Operator: If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, our first question comes from Daniel Imbro with Stephens. Please go ahead.
Daniel Imbro: Hey, good morning, guys. Thanks for taking our questions.
Jim Zizelman: Hey, Daniel. Good morning, Daniel.
Daniel Imbro: Maybe if we could start on the fourth quarter a little bit on the cost side. I guess, Matt, the engineering and quality costs were the surprises versus the guidance that you set in late October. I guess, can you just unpack maybe how those unfolded? Did those costs accelerate quickly and very late in the quarter? Really, the heart of the question is trying to figure out your visibility that these will not recur and how comfortable you feel with 2025 guidance, just given how maybe surprising these costs had been in recent quarters as we think about the outlook here.
Matt Horvath: Yeah, sure. Good question, Daniel. I mean, on the engineering side, you know, there's a lot of those customer reimbursements are the result of meeting certain hurdles in the program development or kind of in the development of the software that we're building. And those things can be a little bit variable. Obviously, we're very close to those hurdles, which is why we expected them in the fourth quarter and why it kind of timed into 2025. So, generally, we've got pretty good visibility there. You know, at the end of the year, we've got relatively more reimbursement than we expect just in the fourth quarter, which is historically similar. So the fourth quarter always has a little bit more variability there. Also, you know, if you think about it, we're launching some very significant programs in 2025. So combined with kind of the seasonality of the expected reimbursements and the magnitude of that potential reimbursement because of the launches, it creates a little bit more volatility, particularly this fourth quarter, even than most. Like we said, though, we expect that that's kind of retimed in 2025. So it kind of gives you some idea of how close we are to those hurdles for the quarter. On the quality-related side, Daniel, as you heard in the prepared remarks, we are extremely focused on improving quality, and that includes really an in-depth review of all the processes that historically even have gone into building these programs and products. And as we review those processes and dig into that, we find some areas that need some improvement. So, you know, I would look at that as a sign of continuous improvement. You know, we're trying to close those items out faster than we have in the past and get through some of those issues. As you know, when we find a quality issue, the accrual requires us to take into account all the future expectations for those issues. So that's why you get a little bit of lumpiness. You had a little bit earlier this year, a little bit later this year. That's why you get some of that lumpiness. So, generally speaking, we've got good visibility to improvement there and kind of foundational improvement. Occasionally, you get, like we did in the fourth quarter, some kind of peaks and valleys in specific incidents. The idea there is to reduce the time until response to those peaks and valleys and try to reduce that overall cost, and that's really where we're focused. And, Matt, maybe I would add just a little bit more on the quality side too. And you brought it up, but just to be clear, you know, you're talking about quality. There's really two elements to it. You know, one is what are you doing today to avoid or minimize quality issues in the future? Right? So and those are the processes that Matt was talking about. You know, do we feel now that we have the right processes, the right rigor, the right discipline in place to basically build in quality, ensure absolute quality, you know, in the product that you have coming forward. And we actually feel that way. Right? We've made a lot of changes in the last two years, and those processes are very strong. We have a lot of dredging for issues during the development process to avoid, you know, the manifestation of quality later on. So we think as far as Stoneridge is concerned, we are in very good shape with that now. And what still is getting us a little bit are some of the things that were from the past. Right. What are we doing about that? Because, look, if there was some weakness out there that you have to deal with, you know, so be it. What we can do now is absolutely be, you know, overarchingly all over that stuff, making sure that we're identifying and finding those things as early as possible, and then quickly addressing anything that comes up in the field. That absolutely minimizes the impact on our earnings and, you know, to the performance of the company. So we have also instituted those processes again to make sure that what is happening out there from historic product is found very fast and addressed very quickly inside the company. So I think on both ends, you know, the future built-in quality and then addressing existing quality issues, I think we've got our act together here and really made a big difference in our And Daniel, I would say on the confidence and the guidance, you know, look across the foundational improvements we've made at the company this year. Material cost significantly improved, even direct labor significantly improved. You heard about some of the specific actions we've been taking to focus on the overall cost structure and structural cost. You know, as you saw in the kind of the prepared presentation, several of those things we expect to continue, and the guidance calls for even at a moderated rate even to last year. So, you know, I think we've got good momentum across a lot of those foundational issues. Like Jim said, the quality issues, we've got a lot of room for improvement there, and we're seeing the improvement. So I feel very confident in the guidance going into next year. You know, obviously, we were a little more conservative than IHS on the top line. There's maybe some opportunity there should IHS materialize as had been forecasted. But we've got good visibility to a lot of that improvement, and I feel very confident we're headed? Yeah.
Daniel Imbro: Nope. That's really encouraging. Maybe following up on that revenue outlook. If I look on slide fifteen, so the revenue growth next year seems like it's MirrorEye, but I guess, can you unpack a little bit what's Smart 2 Tachograph expected to do? The growth there isn't clear from that side. Have we plateaued a little bit there? Or what's your growth expectation for that product?
Matt Horvath: Yeah. So, Daniel, good question. So if you remember, there's really two pieces of Smart 2. One is the aftermarket, which has these kind of rolling on requirements every year as this regulation rolls out to different, you know, weighted vehicles and the way the vehicle operates. And then you've got the OEM opportunity, which is generally pretty stable as new trucks are manufactured. So we had this ramp-up last year as kind of the first tranche of that aftermarket business hit. You know, there's still opportunity to expand our market share in that space. But generally speaking, the guidance expects fairly stable revenue contribution from Smart 2 as we head into 2025.
Daniel Imbro: Great. And then last one follow-up for me. Inventory working capital has been good, guys, on the cash flow side. I guess that's expected to continue in 2025, but revenue's down. So that makes sense. I guess when we roll forward to 2026, how do we feel about the ability for inventory to continue improving, or will there need to be an inventory build and maybe a use of working capital to support that top-line growth when we return to top-line growth?
Matt Horvath: Yeah. No. I don't expect, you know, appreciate the comments on the improvement in 2024 and 2025 here, but still not where we want to be. I mean, if you look, historically, we've been double-digit turns in some of our facilities. You know, if you look at the guidance, that's not what we're expecting to be by the end of this year. So there is still plenty of improvement opportunity in inventory. With significant growth, you might get a little bit of inventory build if a normal state. But versus where we are now, we still think that there's an opportunity to reduce inventory as we head into that growth. So I would not expect a significant, certainly not a significant build in working capital going into 2026. If anything, we may moderate the improvement with the growth opportunity that we've got going forward there. But, you know, I think it's clear that the focus on cash performance and cash flow profile has resulted in some significant improvement. I would expect that to continue in 2025 here on the working capital side. And then build a good foundation as we go into 2026 to make sure that that remains stable.
Daniel Imbro: Great. Appreciate the color.
Matt Horvath: Thanks, Daniel.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jim Zizelman for any closing remarks.
Jim Zizelman: Thank you, everyone, for joining the call again today. I know your time is very important. And as always, we truly appreciate your willingness to engage with us in each and every one of these calls. We have built a strong foundation that allows us to drive significant earnings expansions as we grow here in the future. We'll continue to deliver on our commitments by focusing on long-term strategy, quality improvements, material manufacturing cost reductions, and, you know, several other company initiatives. We expect that our performance, along with our unique mix of industry-changing product platforms, will continue to drive strong shareholder value. Thanks again, everybody.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.